Operator: Good day, and welcome to the Q2 2013 Equifax Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Jeff Dodge. Please go ahead, sir.
Jeffrey L. Dodge: Thanks, and good morning. Welcome to today's conference call. I'm Jeff Dodge with Investor Relations, and with me today are Rick Smith, Chairman and Chief Executive Officer; and Lee Adrean, Chief Financial Officer. Today's call is being recorded. An archive of the recording will be available later today in the Investor Relations section in the About Equifax tab of our website at www.equifax.com. During this call, we'll be making certain forward-looking statements to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors inherent in our business are set forth in the filings with the SEC, including our 2012 Form 10-K and subsequent filings. We will also refer to a non-GAAP financial measure, adjusted diluted EPS attributable to Equifax. Adjusted diluted EPS attributable to Equifax excludes acquisition-related amortization expense. This measure is detailed in our non-GAAP reconciliation table included with our earnings release and also posted on our website. Also, please refer to our various investor presentations, which are posted in the Investor Relations section under the About Equifax tab on our website for further details. Now let me turn it over to Rick.
Richard F. Smith: Thanks, Jeff, and good morning, everyone. Thanks for joining us this morning. As I typically do, I'll start off with a few comments financially for the quarter, second quarter, then we'll go through some highlights by BU. We'll turn it over to Lee for some detailed financials, and I'll come back and give you some color on the third quarter and fourth quarter, the second half of the year outlook. Second quarter, if I look back, was the strongest and the most balanced quarter we've experienced in my 8 years here. We delivered double-digit revenue growth in each of the 4 U.S.-based businesses, along with double-digit constant currency growth in International. This performance was largely driven through our continued momentum across a broad range of strategic initiatives and high levels of execution, a theme we have talked about now for the last couple of years. We're also starting to see some modest signs of economic pickup. Total revenue was $587 million, up 14% from second quarter of last year. Operating margin was 26.9%, up from 25.1% a year ago. Adjusted EPS was $0.92 a share, up 28% from $0.72 last year for first half of 2013. Total revenue was $1.2 billion, up 13%, and adjusted EPS was $1.79, up 27%. Core organic non-mortgage growth rate accelerated from the 4.7% we reported in the first quarter to 7.5% in the second quarter, and that acceleration is expected to further as we go into the second half -- further expand as we go into the second half of 2013, enabling us to significantly mitigate the anticipated slowdown in mortgage originations over the balance of the year. And now quickly go in each of the BUs for some highlights which are pretty fabulous in my opinion. First, USCIS. They're aggressively pursuing market expansion and product penetration through their unique product offerings. A key client program, which we talked about now for, I think, 4 years has enabled us to significantly strengthen share in these accounts and grow our business with the 4 largest banks driven largely by new product innovation and strategic growth initiatives. That model of KCP, where we dedicate all resources across the company to driving share gain and incremental new spend, has been so successful. We've now expanded the program to now include 2 large credit card institutions and 2 large telcos. Through our creative use of analytics-driven insights, we continued to deliver strong NPI performance in USCIS. During the quarter, we finalized the development and delivery of our analytical sandbox to one of our largest customers following their user acceptance testing. That's something we talked about in the first quarter. The pipeline for analytical sandbox projects now is robust as we further engage our large KCP accounts and develop new opportunities with many of our financial services customers. I expect great things from the analytical sandbox over the coming year or so. So next, we will be launching trended data product in the USCIS business that will provide customers with a more granular understanding of consumer behavior through a richer, more robust portfolio of information. Through our Voice of Customer research, demand for this product is strong and crosses many of our end user markets. As a result, as you might guess, the pipeline for trended data is already very strong. One year ago, we launched an expanded focus on the automotive vertical in the U.S. business. These efforts, which leverage multiple unique data assets of the company, are now generating solid, double-digit, organic growth. It's really the power of using our credit data combined with our VOE/VOI data. And this is a market we are very bullish on, and we see additional opportunities for continued growth. Next, in USCIS, their level of innovation execution, organic growth in USCIS core non-mortgage activities accelerated from the first quarter, and we expect that growth to continue to accelerate, just like the rest of the company, as we move into the second half of the year. As anticipated, the total mortgage market originations are expected to decline approximately 35% to 40% in the second half of the year when compared to the second half of 2012. In that environment, we expect USCIS revenue growth to moderate a bit from the first half, which was 17% to 20%, and moderate down somewhere to the low to mid-teens in the second half of the year. Next, moving on to International. As they have done now for many quarters, they continued to strengthen its position in the marketplace through unique, innovative solutions and share gain and continued to deliver some solid growth. Our Latin American countries continued to deliver double-digit revenue growth. Revenue in our Technology and Analytical Services offering was 13% for the quarter. In 2 of the most troubled economies in which we operate, our leaders in Spain and U.K continued to execute and innovate at very high levels, allowing them to deliver double-digit growth rates, which is remarkable in those environments. In the U.K., we've entered into an agreement with a top 10 consumer bank where we went from having 20% share to now becoming the primary provider for online credit information. The unique set of product offerings and focus on customers has enabled Canada to grow at almost 4 times the rate of GDP. Great level of execution and innovation there as well. Finally, by leveraging what Trey Loughran and the PSol team have done in the U.S. outside of the U.S. footprint, we're taking those capabilities in our platform now to our International properties, and PSol now is growing internationally at 35% for the quarter. For the year, we expect International's revenue growth to be in the upper half of their long-term target, which was 7% to 10% growth. The transformation of Workforce Solutions' business model to a broadening of the end markets it serves, and maintaining their premier automated Verification Services offerings continues to drive strong, broad-based growth and expanded operating margins, as you've seen. Dann and his team have focused not only on the mortgage market but growing their product offerings into new markets. And for the quarter, it delivered double-digit growth in places like card, auto, government and preemployment screening. Just a great, broad-based growth there. During the quarter, 2 large clients added 265,000 records to our database. And through our alliance partnerships, we've added over 100 new clients in the second quarter alone. Total records on The Work Number database ended the quarter at 225.7 million, up 6% over 1 year ago. Neat thing there is the team is continuing to develop new uses of historical data to help our clients and drive new sources of revenue growth for us. Finally, I want to give you a quick update within Workforce Solutions on the recently announced contract win at CMS. The work effort is on schedule, and as we talked about in our last call, we expect to be operational by October 1. At this point, we've only factored in a modest level of revenue for the year given all the uncertainty surrounding the implementation of Affordable Care Act. And as I told you last quarter, as we get into the third quarter earnings call in the fourth quarter, we'll have a lot clearer insight as to what that means for us this year and next. Workforce Solutions has improved organic growth in its core non-mortgage activities again by diversifying and -- into new and further penetrating existing market segments and by growing The Work Number database, which is a powerful lever for growth. For the full year, we expect Workforce Solutions to deliver revenue growth in the upper end of their long-term target of 7% to 9%. We saw it continuous to deliver strong, double-digit revenue growth with attractive operating margins through excellent operational execution. Shortly after the close of the quarter, we made an important investment in PSol with the acquisition of TrustedID. This acquisition broadens PSol's product offering and provides additional growth opportunities. TrustedID is an affinity platform who's best in class. They service substantial clients such as AARP, mint.com, H&R Block and many others. TrustedID is also an industry leader in assisting consumers with monitoring and managing their online reputation within social media sites, including Facebook, LinkedIn and Twitter, and also enable consumers to control their offline identity through opt-out options with third-party mailing lists. Simply put, this was an opportunity we saw. As we look at expanding our presence into the identity space, TrustedID is fabulous there. And secondly, through the years, we've been trying to expand our presence in affinity, and TrustedID does that as well. It's a nice fit strategically for Trey and his team. We expect PSol to end the year with double-digit revenue growth, possibly exceeding the upper end of their long-term range, which was 8% to 12%. On to North American Commercial Solutions. They delivered another quarter of double-digit revenue growth and on a path to finish 2013 with growth at or above the upper end of their 6% to 10% long-term target. An intense focus on executing their strategic initiatives, building a strong pipeline of opportunities and new product innovation, all of which are ahead of plan, has enabled their strong turnaround performance. And in summary, we have turned the corner with Commercial, and they're back on a path to solid growth. Our performance for the first half of 2013 has been strong and has been balanced. The team continues to deliver a very high level of execution across our initiatives, including new product innovation and providing superior customer service. So in summary, I'd say the first half of the year was a great year for us. With that, Lee?
Lee Adrean: Thanks, Rick, and good morning, everyone. This morning, I'll be referring to the financial results of continuing operations generally presented on a GAAP basis. You should also refer to the Q&A and non-GAAP reconciliations attached to our earnings release for additional financial information. With our strong second quarter performance, we are well positioned to tackle the expected mortgage headwind in the second half. Let me first focus on the quarterly results. Compared to the same quarter in 2012, for the first quarter of 2013, consolidated revenue of $587 million was up 14% on a reported basis and up 15% on a constant currency basis. Operating margin was 26.9%, up 180 basis points from last year, driven primarily by operating margin expansion in Workforce Solutions, Personal Solutions and Commercial Solutions. Diluted earnings per share attributable to Equifax was $0.73 a share, up 22% from the same quarter last year. And excluding acquisition-related amortization and associated tax effects, adjusted earnings per share was $0.92, up $0.20, or 28%, when compared to the second quarter of 2012. Moving to the individual business units. U.S. Consumer Information Solutions revenue was $260 million, up 19%. Excluding the CSC acquisition, which we now operate as our Central Region, total organic growth in USCIS was 5%. Online Consumer Information Solutions revenue was $185 million, up 17%. Excluding the Central Region, revenue grew approximately 4%. Transaction volume was down 2%, but average revenue per unit increased due to pricing initiatives and favorable customer mix. Mortgage Solutions revenue of $33 million was up 38% compared to the second quarter 1 year ago driven by the acquisition of our Central Region and organic growth of approximately 17%. Consumer Financial Marketing Services revenue was $42 million, up 17%. Organic growth was approximately 5%. The operating margin for U.S. Consumer Information Solutions was 40.2%, which is flat when compared to the second quarter of 2012. Our International business units revenue was $130 million, up 9% on a reported basis and up 12% on a constant dollar basis. By region, Latin America's revenue was $49 million, up 5% in U.S. dollars and up 11% in local currency. Strong, double-digit local currency growth in Technology and Analytical Services and Marketing Services were the primary drivers of this improving growth. Europe's revenue was $47 million, up 14% in U.S. dollars and up 16% in local currency. Good growth in the telecommunications, government and insurance sectors, in addition to strong continuing double-digit growth in Personal Solutions, more than offset weakness in Marketing Services' offerings. Our Canada Consumer information revenue was $34 million, up 7% in U.S. dollars and up 9% in local currency. Strength in technology and Fraud Services, Marketing Services and data breach services were the primary contributors to growth in the quarter. International's operating margin was 28.7% compared to 29.2% in 2012 due to increased investment in growth initiatives and infrastructure but up 60 basis points from 28.1% in the first quarter. Workforce Solutions revenue was $123 million for the quarter, up 12%. Verification Services, with revenue of $77 million, was up 21% for the quarter driven by broad-based, double-digit growth across all major market segments, including mortgage, auto, government, card and pre-employment. Employer Services revenue was $47 million, flat compared to last year. Workforce Solutions operating margin was 31.1% compared to 24.2% in the second quarter of 2012 driven largely by widening margins in our Verification Services business unit. Approximately half of the improvement is from operating performance and half from lower acquisition and amortization expense as a portion of the intangible assets from our 2007 acquisition of Workforce Solutions is now fully amortized. North America Personal Solutions revenue was $52 million, up 12%. Double-digit growth in our U.S.-based subscription revenue and in Canada were the key drivers for this performance. Operating margin was 27.6% compared to 26.8% in Q2 of 2012, again benefiting from the lower credit file and monitoring expenses resulting from the CSC acquisition. And finally, North America Commercial Solutions revenue was $23 million, up 12% on a reported and local currency basis, driven largely by strong, double-digit growth in our U.S. risk business segment. Operating margin was 16.8%, up from 14% in the year ago quarter. Now let me turn it back to Rick.
Richard F. Smith: Thanks, Lee. If I look back to February, we gave you a framework to think about for the total year. In that framework, we tried to define as best we could what we thought the mortgage market might do for the year. As I sit here now in late July, the overall mortgage market is expected to perform as we guided, which is quite remarkable. Little nuances. The first half of the year was marginally stronger than our expectations. And the second half of the year, sitting here today, we expect to be marginally weaker than we forecasted. But in total, for the full year, the mortgage market is expected to perform kind of as we guided back in February. In contrast, the organic growth in our core non-mortgage activities accelerated in the second quarter, as we mentioned before, from 4.5% to -- or 4.7% to 7.5%, and we expect that to accelerate further in the second half of the year to the upper end of our long-term target for organic growth rate, which, if you'll remember, we talked about 6% to 8%. So we expect third and fourth quarter to be at the upper end of that range, which is very healthy. As a result, for the full year, assuming current exchange rates and the anticipated decline in mortgage origination activity, our outlook remains strong. We now expect revenue growth from continuing operations to be in the middle of the 10% to 12% guidance range, which we gave earlier this year. That translates into approximately $2.3 billion. Growth in adjusted EPS from continuing operations is expected to be in the top half of the 21% to 24% guidance range we provided earlier, and that translates into $3.56 to $3.61 a share. Operating margin is also expected to be comfortably in the range of 26% to 27%, which we gave guidance earlier in [Audio Gap] As well. So I think in summary, I'll described the second quarter as a very strong first half, which we're expecting a very strong 2013 and a very balanced 2013. So operator, with that, we'd love to open up to some questions.
Operator: [Operator Instructions] We'll go first to Carter Malloy at Stephens.
Carter Malloy - Stephens Inc., Research Division: So first, maybe on the core OCIS business. You saw a little pickup there, especially in non-mortgage. So can you give us a sense of is that just industry volumes? Or is that more pricing initiatives on your end? Any detail there would help.
Richard F. Smith: Well, it's a combination. But what's really encouraging I alluded to a bit in my comments, Carter, is we launched an internal strategic initiative, if you'll recall, 4G (For Growth), and the team came back with some ideas. And automotive was a great area for growth. We about 1 year ago deployed a lot of new resources there, a lot of new thinking there, brought in some outside consultants. And now, our business is growing 14% in the quarter, which is just amazing. And there are other examples much like that as well. So it is much new initiatives, expanding products and new verticals as it is pricing. In fact, I'd say it's more of that than it is pricing at this juncture.
Carter Malloy - Stephens Inc., Research Division: Okay. And also, a pretty encouraging lift in your European business. You gave us some in the prepared remarks. But can you walk through again just what the key drivers are there? You mentioned PSol. Is that a meaningful piece of that business?
Richard F. Smith: Yes, the 35% PSol growth was all of International, and that's inclusive of those 2 geography in Europe. And...
Carter Malloy - Stephens Inc., Research Division: Is PSol a meaningful percentage of those businesses, though?
Richard F. Smith: In Spain, no. In U.K., it's a good size.
Carter Malloy - Stephens Inc., Research Division: Okay.
Richard F. Smith: But as I mentioned, I think it was last quarter, Carter, or quarter before, it starts with leadership. And we have got 2 energized, relatively new leaders in both U.K. and Spain, and they're looking at the business differently. They're innovating at a very, very high level, bringing new products to market. They're penetrating new verticals like insurance and government, for example in U.K., growing PSol dramatically in the U.K., doing new verticals in Spain we've never done before. And their execution across all initiatives is just extremely high. And the neat thing is, it's not just one quarter now. It's been multiple quarters where they've executed. And I think the future is bright there -- as you probably saw recently, some encouraging news coming out of the U.K. on their GDP. So we've got a little economic help in those 2 countries. I'd say even better for us.
Operator: And we'll go next to Jeff Meuler at Baird.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: I just want to revisit the guidance commentary since it sounds like the mortgage for the full year was in line with your expectations, but you're currently guiding towards the midpoint of the prior revenue range. I guess was the non-mortgage core acceleration consistent with your expectations? Because at least to me, it seemed like a bigger step up, going from 4.7% to 7.5%, than I would have expected. And then on top of that, you're layering on TrustedID. I'm not sure how much revenue contribution there is there, but it just seems like directionally, your order of magnitude, a bigger acceleration than we would have expected. So I was just wondering if you could comment on that, please.
Richard F. Smith: I'd say that it's important, Jeff, that we put it into context. We gave you a range 10% to 12% back 1 year ago, and different sell-side analysts developed different models and expectations for us a company. What we're saying now is the total mortgage market is going to behave largely as we expected. The organic growth initiatives is largely as we expected, just an acceleration. There was some concern on the call the first quarter where our core non-mortgage growth rate was 4.5% -- 4.7% in the first quarter. But we had planned on acceleration beyond that in the second quarter. We're continuing in the third and the fourth. So largely, all of our initiatives in the mortgage market are performing as we expected. As it relates to TrustedID, the acquisition we just announced for PSol, the revenue there is de minimis. It's more of a strategic play to give Trey a foothold, a great platform into the annuity market and a great platform managing our DMS.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then I know you guys have been diversifying the business. At this point, the Verification Services business, how much of that is mortgage?
Richard F. Smith: What we'll do is show the -- Between 40% -- it'll vary over time. Overall mortgage, about 18%. Verification at this peak might be 40-some percent.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Got it. And then just finally, any additional color you can give on the trended data product you referenced then but didn't give a lot of color?
Richard F. Smith: Yes, it's a pretty neat thing. As underwriters continue to try to find better ways to make underwriting decisions and target the right people, today, as you might guess, they take a snapshot, a static look at someone's credit file. And if we can give them historical data, 24 months or so of historical data and how consumers have behaved month by month so you see a trended look, are they trending up, are they trending down, are they volatile, are they steady, that helps make them different product decisions and underwriting decisions. So that's what we're talking about now.
Jeffrey P. Meuler - Robert W. Baird & Co. Incorporated, Research Division: Got it.
Richard F. Smith: And it took us time just to build the infrastructure to house the data.
Operator: We'll go next to David Togut at Evercore Partners.
David Togut - Evercore Partners Inc., Research Division: Historically, pricing has been a very good driver of revenue growth for PSol as you've migrated consumers up to family plans and such. Can you quantify the impact that pricing is having on revenue growth this year and what you see going forward?
Richard F. Smith: Are you talking specifically for PSol or in aggregate?
David Togut - Evercore Partners Inc., Research Division: Well, I guess let's start with PSol, and then maybe if you could give us a broader view Equifax overall.
Richard F. Smith: Yes, I'm not going to quantify the number either now, but I'll give you a directional feel for it. The stuff that Trey has done, new product introduction, expanding the value to his customers with things like family plan will continue to have a positive impact. And I think that's an never-ending game, by the way. I think as we continue to innovate, think about how you add more value to our customers, they're willing to pay more. And that same trend holds true for Equifax. At the Equifax level, the aggregate pricing benefit for Equifax, there's going to be ebbs and flows year-over-year. But if you look at a multiyear period of time, David, it's pretty consistent year in and year out. One year, you may have a little bit more and next year a little bit less, but it is fairly consistent with multiple years.
David Togut - Evercore Partners Inc., Research Division: So overall, what are you seeing this year in terms of pricing power?
Richard F. Smith: We're -- it varies, David. In some countries, where the marketplace may be different, you may have a lot of pricing power. Obviously, in other countries, you may not have as much, places like the U.K. where -- we're #2 player in the U.K. It's also clearly linked to the vertical, country, the business and their level of innovation. You've got a lot of pricing power if you continue to bring value to the customers, new unique value.
David Togut - Evercore Partners Inc., Research Division: Where do you have the most pricing power now either by vertical or by geography?
Richard F. Smith: Let's think about that. I can't think of one that stands out as being dramatically different than another. Again, you might -- from time to time, David, some of them may come out with a really unique product in some part of the world and have a lot of pricing power there. But eventually, competition might catch up and someone else comes up with a great new product somewhere else in our business. So it is truly balanced. The stuff that Paul Springman and his team have built, and you've heard me talk about this before, they are top-notch, experienced strategic pricing people and tactical pricing teams as well. And they are penetrated in every single vertical, country, BU that we have around the world.
David Togut - Evercore Partners Inc., Research Division: I see. I apologize if you mentioned this earlier. I joined a few minutes late. But did you quantify the contribution to revenue growth in the quarter and for year-to-date from NPI?
Richard F. Smith: We did not. But largely -- I don't have that stuff in my head either. I'll tell you this, though. We just -- we had a review. David, it is largely in line with the goals we've had. In fact, I think we're slightly -- we are -- well, we're slightly ahead of our budget through the first half of the year. So NPI continues to be a meaningful contributor, but we did not quantify it. I don't have it off the top of my head.
David Togut - Evercore Partners Inc., Research Division: And what is the biggest driver of NPI-related growth this year?
Richard F. Smith: It's pretty cool. It's like we had the last couple of years, David. It's 60 to 70 products. It's every BU. It's every geography. A couple of years ago, we had a big hit, I think, called ESS, which you know of. Maybe 2 years ago, I think, it was. And we had another big hit in NCTUE+, the telecom and utility positive data. But by and large, what you're finding now in our 8th year of doing this, it's a lot of midsized, small projects all around the world.
David Togut - Evercore Partners Inc., Research Division: Got it. And then just finally, Rick, I realize that you don't control the Boa Vista JV, but Experian has certainly highlighted the slowdown in their growth rate at Serasa in Brazil. Can you just give us a qualitative sense of what you're seeing in the Boa Vista JV in Brazil? And is that seeing a meaningful slowdown in growth given some of the civil unrest over there?
Richard F. Smith: Yes, I think the things that the world talks about when they look at Brazil would be reflective to Experian, reflective of our business down there as well. I'm heading down, David, once in August, once again in October, to see the team down there. From our side, as far as integration, developing new products and getting products to market and getting market acceptance and so on and so forth. All of that is working well. But there's no doubt the Brazilian marketplace itself is slowing. However, I'm still keenly interested in Brazil because it's not just a 1-year bet or a 2-year bet. It's a 5-, 10-, 15-year bet.
David Togut - Evercore Partners Inc., Research Division: Any update on when you might increase your ownership stake in that JV?
Richard F. Smith: Not yet.
Operator: We'll go next to Dan Perlin at RBC.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Rick, can you just help us bridge the gap to this acceleration that you saw in this organic growth this quarter and then -- and accelerating into the back half? I mean, it was pretty stark, and I just want to make sure I've got the kind of key tenets. There's a lot of things you're throwing at us, but I suspect there's maybe 1 or 2 that you really want to highlight for us. If you could just kind of outline that, that'd be great.
Richard F. Smith: Well, look at it this way, Dan. I think it was -- first quarter was more of an aberration than anything else. And as we -- as Lee and I built the plan for the year, and we told you this, not just you but our investor base, that our long-term goal is to be in that 6% to 8% organic growth rate. And we had a bit of aberration for a number of reasons in the first quarter. Now you're seeing us deliver the kind of growth we expected in the second quarter. And you've heard me use a theme, down the path that we're executing at extremely high levels as high as I've seen. And that's allowing us to creep up to the very high end of that 6% to 8%. So it's no magic dust. It's no one product. It is sustainable, repeatable core organic growth, which is important to us. And by the way, we intensified our effort. If you're us and you're sitting there in the fourth quarter last year looking at these low interest rates and knowing mortgage rates, 10-year treasuries are going to pop up and mortgage rates are going to pop up in the second half of the year, we're going to go from a little bit of tailwind in mortgage to a headwind, we had to step up our game. And oh, I'm so proud of our team because all of our teams across the business have done just that, and it's going to enable us to have a strong second half to the year.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And then when you look across your portfolio, in particular in the U.S., are you seeing a shift, modest or otherwise, really from kind of the affluent category to the non-affluent starting to pick up?
Richard F. Smith: Yes, I'm looking at Paul. Paul says yes, we are.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Can you just quantify it either anecdotally? Or just -- has it just started recently? We're starting to hear some indications at -- with other companies. I'm just trying to channel-check with everybody on this.
Richard F. Smith: What I think we are seeing is that the lenders, the banks for cards, for mortgage to some degree and for auto are going down a little bit in the credit scores. I wouldn't call it quite sub-prime but closer to sub-prime now than they were in the past. It's been probably [indiscernible] quarters now.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And then I didn't -- sorry.
Richard F. Smith: And the other thing there, as they go down, what we're finding, they're also doing, which we see as credit trends, is they're offering smaller lines of credits.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And then in that -- typically, when you go downstream, you're seeing -- you would typically see the velocity of your credit apps go up because they have to put up more? Is that still consistent?
Richard F. Smith: Correct.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. I didn't hear why transactions in online were actually down 2%. I heard you talk about pricing being up, but I didn't think why they -- these were actually down.
Lee Adrean: Yes, they were down 2%. That's actually quite an improvement from the prior quarter. We've commented in past quarters on a couple of clients where we have a smaller position. We also saw in the second quarter a telco, which can fluctuate quarter-to-quarter, was down a little bit year-over-year.
Daniel R. Perlin - RBC Capital Markets, LLC, Research Division: Okay. And then just one last question and I'll jump off. The employee services was flat. I know the division was good. Is there anything to call up there in particular?
Richard F. Smith: No, I just think it's trends seen in unemployment claims. But there's a very encouraging thing there, Dan. We have a new great leader in Scott Collins. He's running the business for Dann Adams out there. We just had a review with those guys. And I have challenged them even in this kind of unemployment environment to step up their game and innovation. I think there are some very positive things you can see coming out of the employer business within EWS this year and return to growth, which will help, Dan.
Operator: We'll go next to Manav Patnaik at Barclays.
Unknown Analyst: This is actually Manav's associate, Greg [ph], calling in for him. On Commercial Solutions, which we saw had a pretty strong quarter, can you give an update on market trends and whatever company-specific attributes are helping to drive the growth?
Richard F. Smith: Yes, it's -- Greg [ph], it's more than that. It's just -- I admitted this to the -- our investor base back in fourth quarter, maybe again first quarter. We just had poor execution there. And Alex and his team have refocused themselves on generating strong pipeline, both in the MDS business and the marketing business in Canada. We're improving our data quality in Canada tremendously. We're revamping our entire go-to-market strategy in Canada. And the U.S. risk business has returned to growth. So it's more of just doing what the rest of the business has been doing, which is improving the level of execution.
Unknown Analyst: Great. And then we saw some small tuck-in acquisitions like TrustedID. But can you give us a sense of what the larger deal M&A pipeline looks like? CSC seemed kind of like a no-brainer, but is there anything out -- any sizable deals that are on your radar?
Richard F. Smith: We always are looking for the -- strategic deals that make sense to us financially and strategically. The pipeline is good. It's tied to our strategy. We're in the process is just wrapping up our 3-year strategy. We maintain a goal of 1, 2 points of growth coming from M&A over multiple years, and I think you can continue to count on that. Again, you're going to have some years that are bigger than that. But in general terms, think of us as a -- being 1 or 2 points of total growth coming out of M&A.
Operator: We'll go next to Shlomo Rosenbaum with Stifel.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: [Indiscernible] questions. Could you just talk -- and the most impressive part of the quarter to me is the fact that you guys are getting growth in areas like mortgage reporting, where you clearly have the wind blow -- starting to blow in your face, even in Verification Services as well where things are turning down. Can you just give us a little bit more detail about what are you doing? Is there other products that you guys are coming to market with? Have you cut other deals we're you're getting a bigger piece of the pie? How are you executing so well over there?
Richard F. Smith: Yes, that's a good question. I think if you separate that and look at EWS one way and look at USCIS a little differently, in EWS it is continue to gain greater penetration. Believe it or not, there were a number of mortgage underwriters historically who maybe didn't pool a VOE/VOI. And now, Dann and his team are out there knocking on the doors day in and day out. So his ability to penetrate the mortgage market. I don't have those numbers memorized right now as far as penetration, but there's a lot of room to grow still. But he's penetrating now, so he's getting more pools for the VOE/VOI than he has ever had in the past. He continues to look at his pricing for VOE/VOI, which is another lift for him there because he is looking at new products as well. In USCIS, it's really new product introduction. And you've heard us talk in the past the launch of a product called UDM as an example -- as one example of solving mortgage problems we haven't solved in the past. And Rudy's also gaining more share in the tri-bureaus. But you always heard us say, Shlomo, if you go back 2, 3, 4 years, we used to always talk about the mortgage bankers index, or what the growth rate was, it was growing or declining, and our expectations through new products and through penetration was to outperform. So if it was up 5%, we expect to be up something more than that. If it was down 5%, we want to be down less than that. So the trend that you're seeing today is a trend we're really proud of and we've seen for a number of years now.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Do you think that you're at a point in time that you -- that the trend is going to have a meaningfully less impact on you given the -- what you're doing in some of those markets? In other words, the expectation is it -- for it slow down a lot. You have a lot of new products in the pipeline and a lot more market share to be gained that you think that you could continue to significantly outperform that mortgage bankers index?
Richard F. Smith: Well, that's a good -- it's a great question. I mean, strategically, the challenge I've given our team is we like to eliminate the cyclicality in mortgage. We're not there yet. We've got a long way to go. But the vision, the dream is to find ways to offset any cyclicality, any downturn we might have. But again, we're not there yet. And I'd like to do it within the confines of just the mortgage market. So today, we'll obviously having to rely upon core non-mortgage growth initiatives. But the challenge I've given Craig Crabtree, who runs our mortgage practice, is to utilize all the great talent we around here and to think about ways to minimize the cyclicality we have in mortgage. It's a long-term goal.
Shlomo H. Rosenbaum - Stifel, Nicolaus & Co., Inc., Research Division: Okay, great. And one question for Lee. You're continuing to delever after the CSC acquisition. Where -- remind us of where your targets are at. And I would think, given the business model, even the 1.9x leverage, you probably still have a decent amount of capacity if another significant deal came by to be able to take that on. Can you just comment on that?
Lee Adrean: Yes, our targets are to be between 1 3/4 and 2x EBITDA in terms of leverage. I think at that range, we do have some capacity in case a large opportunity like a CSC comes along. I will remind, you, I mean, we actually had levered down to 1.4x in anticipation of a deal the size of CSC. But for the deals in the multi-$100 million range coming from where we are today, we have the capacity to take those on.
Operator: And next, we'll move to Paul Ginocchio at Deutsche Bank.
Paul Ginocchio - Deutsche Bank AG, Research Division: Rick, I was just again -- I know you made some comments on the CMS contract, but have you learned anything over the last quarter? And is there any sort of update or different view on that I guess 3 or 6 months later? Then second, of the 7.5 points of organic or core growth, what percent -- what point -- how many points of that was due to the analytical sandbox initiatives?
Richard F. Smith: Great, Paul. On CMS, now it's -- the team is working hard on getting the infrastructure of the system set up and ready to go. We are expected to be fully operational come October 1. Beyond that -- and obviously, the government at the Federal level and state level are working very hard. We're working very closely with them. It's -- everything is unfolding as we had planned and had hoped at this juncture. And again, as I mentioned earlier, when we get back together in October for our third quarter call, we'll have really good insight at that juncture as to how the balance of the year will unfold out and next year as well. We continue to remain optimistic. The second point, as far as analytical sandbox, we just launched that, as I think I mentioned in my comments, that's just going live now. So as it relates to the second quarter 7.5% organic core non-mortgage growth, very little comes from the sandbox. I expect it to be a more meaningful part going forward.
Operator: And we'll go next to Andrew Jeffrey at SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: I apologize, I had to jump on late. So Rick, I hope I'm not going to make you repeat yourself here. And for Rick and/or Lee, I guess, segment profitability was pretty impressive, especially in Workforce Solutions. Can you speak specifically to some of the drivers there? Or just tell me to read the transcript if you answered that question already.
Lee Adrean: Yes. The -- in Workforce Solutions, we improved by 7 percentage points year-over-year, following our first quarter where we also had shown very strong improvement. The -- in the second quarter, first quarter had a temporary factor in it that -- just a shift from Q4 to Q1. But the second quarter, and we'll see this on an ongoing basis, about half of that improvement came from some acquisition-related amortization that is rolling off from our original acquisition of Workforce Solutions that became fully amortized during the quarter. The other half is just real operating leverage, and it's 2 things. It's -- we've seen strong growth in the Verifications business, which gives us good bottom line leverage. And the second thing is we've been aggressively applying lean techniques to improve the efficiency across both of the subsegments within the Workforce Solutions business. And the 2 of those drove about half of that improvement, so you're seeing real cash improvement in those margins.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Would you consider that an inflection point?
Lee Adrean: No, I think this is probably more moving to another -- I'm not going to say plateau. We try to drive some improvement every year, but I don't see it continuing dramatic improvement. I see us now having moved from the low to mid-20s up to the very low 30s.
Richard F. Smith: Yes, it's -- I have a little color to add there. I agree with that completely is, you had the big step up because of the amortization rolling off. We'll always expect every business unit leader to continue to drive efficiency and productivity to give us some incremental lift. And because of the great model we have, as we grow online business like VOE/VOI, they'll get some more. I don't -- we're not going to get 300, 400 basis points of improvement every year, but you'll expect -- we should expect continue to have some improvement in margin across all businesses, including EWS.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And Rick, you've done a great job with NPI and clearly demonstrating that Equifax is much more than a mortgage play. When you think strategically about incremental technology or data sets, what comes to mind? What should we think about you doing from a strategic perspective over the next 3 to 5 years to sustain the out-performance that you've enjoyed certainly post-recession?
Richard F. Smith: Well, thank you for the compliment, Andy. There are so many levers we have to take this company to a much higher level of profitability and top line growth. I'm really excited about analytics. We've got a world-class guy we brought in. He ran all of analytics for Hewlett-Packard. He's working for Paul Springman now. There is a lot of money to be made by expanding how we think about analytics. But we're in a process of finalizing our strategic plan rollout out there. Fraud and ID, there's a big play for us there. I mean, if you think about the CMS, there's an element of identification to make sure there's no fraud in the salary level there. And that's a huge potential for us. There's so much more we can do there, and we're investing heavily in that for -- with Rajib Roy and his team. There are some geographic places we don't play today that I'm extremely excited about expanding our footprint there beyond just Brazil, for example. Auto, we talked about auto. Auto, we say, was just an afterthought 2 years ago. Now we're getting significant traction and great growth because of our unique data assets. In government, there is a world -- getting the CMS win is great for -- is the revenue that may come from CMS, but it's opening the doors to different branches within the government at a rate we never anticipated. And then lastly, we talked about a few times insurance offers a lot of hope and potential for us as well. And places like U.K., we're already gaining traction. In the U.S. as well.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And one last one if I may. I think I heard you mention perhaps that issuers are coming down the credit continuum a little bit. Is that incremental to what you've seen over the last few quarters on the -- specifically on the consumer credit card side of your business?
Richard F. Smith: Yes. So they were obviously coming out of the recession. We're reluctant to loan to this lower credit spectrum. What we're now saying is yes, this incremental outreach where they're offering smaller lines of credit but offering lines of credit to like sub-prime or lower than prime. So yes.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. So we're talking like maybe the 675 to 700 kind of FICO range?
Richard F. Smith: Correct.
Operator: And we'll go next to Andrew Steinerman at JPMorgan.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Rick, in your opening remarks, you talked about some signs of economic improvement kind of helping. My -- and I know you used the word modest. My question is, where do you see that in your business? Is it what you just said, issuers moving down the spectrum? Is there some place else that you can actually point that it's helping your business maybe from a consumer credit standpoint more broadly? Or what you're saying, hey, in the context of our guidance, we're reassured with how the economy feels?
Richard F. Smith: Yes. Good point, Andrew. Let me sort of clarify. One, yes, we're seeing in the credit card issuance as an example, we're going down market. So you're seeing it in auto sales pick up. As auto sales pick up, there's a benefit to us, and it's going to continue in 2014 as well. Home sales are starting to pick up, and that will bode well over time. It's important -- but one second, I will come back to the heart of your question in a second. If you think about the mortgage market, obviously modestly better than first half, about as expected and modestly worse in the second half. We expect the first half of 2013 on the refinancing to be tough as well, much like the second half year, but then a pickup in the second half. And you're also starting to see existing home and new home sales pick up as well. So I look to the second half of next year but you anniversary the refinancing kind of fallout, and now you have new home sales and existing home sales continuing to climb, that bodes very well for us. The other point on economic pickup is you're starting to see now for the first time in years a bit of a pickup in GDP growth, which is helping consumer confidence in the U.K. and so lending in the U.K. as well.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Okay, that's cool. And just could you square in with credit card? You mentioned in your comments just now that it's come up slightly in other parts of this call. Is credit card applications, as it relates to USCIS, up now? Is it still modestly up or at the bottom? How would you describe credit card, which is a bigger segment, I think, for -- than mortgage?
Richard F. Smith: Yes, the prescreen business was up, Jeff, was it -- -- some 7% in the second quarter. So it's starting to trend in the right direction.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Right. I didn't mean the prescreen, I meant the actual credit card applications driving consumer credit reports.
Richard F. Smith: Oh, it's up modestly.
Operator: And that does conclude today's question-and-answer session. At this time, I would like to turn the conference back over to management for any closing remarks.
Jeffrey L. Dodge: We want to thank everybody for your participation. And with that, operator, we'll conclude the call. Thank you.
Operator: Thank you. And again, that does conclude today's conference. Thank you for your participation.